Operator: Good morning, ladies and gentlemen. Welcome to the La-Z-Boy's Fiscal 2014 Fourth Quarter and Full Year Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) And as a reminder, this conference is being recorded. It is now my pleasure to introduce Ms. Kathy Liebmann, Director of Investor Relations of La-Z-Boy Incorporated. Ms. Liebmann, you may now begin.
Kathy Liebmann: Thank you, Rob. Good morning and thank you for joining us to discuss our fiscal 2014 fourth quarter and year-end results. With us this morning are Kurt Darrow, La-Z-Boy's Chairman, President and Chief Executive Officer; and Mike Riccio, our Chief Financial Officer. Kurt will begin today's call, and then Mike will speak about the financials before turning the call back to Kurt for his concluding remarks. We will then open the call to questions. A telephone replay of the call will be available for 1 week beginning this afternoon. These regular quarterly investor conference calls are one of La-Z-Boy's primary vehicles to communicate with investors about the Company's current operations and future prospects. We will make forward-looking statements during this call, so I will repeat our usual Safe Harbor remarks. While these statements reflect the best judgments of management at the present time, they are subject to numerous future risks and uncertainties as detailed in our regular SEC filings, and they may differ materially from actual results due to a wide range of factors. We undertake no obligation to update any forward-looking statements made during this call. And with that, let me turn over the call to Kurt Darrow, La-Z-Boy's Chairman, President and Chief Executive Officer. Kurt.
Kurt Darrow: Good morning, everyone and thanks for joining us today on our call. Yesterday afternoon, we reported our fourth quarter and full year results for fiscal 2014. It was a solid year for La-Z-Boy Incorporated during which we achieved a number of accomplishments. With respect to our overall results we grew sales by 83 million or 6.6% to 1.36 billion, increased operating income by 22 million or 32% to 89 million almost doubling it from two years ago and generated $91 million in cash from operations and strengthened our balance sheet ending the year with more than 200 million in cash, cash equivalents, investments and restricted cash. On the wholesale upholstery side, we experienced an increase in same-store sales for the year of about 6% following a double-digit increase in 2013. We set the stage for one of the largest growth initiatives in the Company’s history with our 4-4-5 store build out strategy. We launched Urban Attitudes, the most important furniture collection we have introduced to the market in 10 years. The upholstery group posted a 10.7% operating margin in the segment, an improvement of 140 basis points from the prior year. We also extended our contract with Brooke Shields through November of 2016. In our Retail segment we posted four quarters of profitability with a 3.7% operating margin for the year, solidifying our position in the industry as a successful integrated retailer. And finally, we increased our company-owned store count to more than 100. We also increased our quarterly dividend by 50% and returned $43 million to shareholders through dividend payments and share repurchases. And we broke ground on our new world headquarters project which is on-time and on-budget. Importantly, as we review the year, against the backdrop of modest growth throughout the furniture industry and housing sector we continue to grow our business profitably achieving our fourth year in a row of increased sales with five consecutive years of solid operating profits. Our pathway to the future is filled with opportunity and we are invigorated by the growth potential we are creating and realizing. Our manufacturing and retail platforms are solid and improving. Our positioning within the industry is unparallel. Our marketing and merchandizing programs are resonating with consumers, and we have the financial strength and flexibility to invest in our business to fuel ongoing growth and profitability. As far as the fourth quarter is concerned, we grew consolidated sales and earnings but believe our results were impacted by weather issues as well as various costs most of which were incurred to grow the business. I will take a few minutes to discuss each of our three segments in more detail. First wholesale upholstery, for the quarter sales increased 2.3%. We posted a 10.9% operating margin while increasing the gross margin demonstrating the efficiencies with which we’re running our manufacturing facilities. As mentioned a moment ago, we believe our performance for the segment was hampered by weather issues beginning in the third quarter and extending into the fourth quarter, particularly in February when same-store sales for the La-Z-Boy Furniture Galleries system were down almost 5%. Also impacting our quarterly results for the segment where increased advertising expenses and costs associated with the opening of our Regional Distribution Center in Columbus, Ohio. These costs were partially offset by a reduction in compensation costs and Mike will speak more about that in a few minutes. Although same-store sales for the La-Z-Boy Furniture Galleries network were down slightly for the quarter they follow 13 quarters of same-store sales increases. While it’s too early to determine if the weakness experienced in the quarter is purely the result of weather or if it is of a broader nature, we continue to operate our business with a philosophy and strategy designed to drive growth and profitability. We are investing in our brand platform to generate further interest in La-Z Boy and educate consumers about our broad line of stylish stationary and furniture in addition to our core recliner and motion offerings. And we remain focused on innovative design, introducing new product and are actively working on our store projects as we execute our 4-4-5 strategy. For those of you who maybe new to our story, 4-4-5 is our strategic initiative to grow our store base throughout North America with the objective of having 400 stores averaging $4 million per store in revenue and given recent results, we believe it could be more than 4 million per store over the five year period. Fiscal 2015 marks the second year of this initiative. During fiscal 2014 throughout the network 10 net stores were opened, six were remodeled, two stores were relocated and eight were closed. We ended the year with 315 La-Z-Boy Furniture Gallery stores in North America. Importantly, there is much time spent getting processes underway to identify locations, enter new leases and secure permits we pave the way for 30 to 35 store projects whether they be new stores, remodels or relocations scheduled for completion in fiscal 2015. In addition to growing our store system to 400 furniture gallery locations a key near-term objective is to replace old fab format stores with those in the new concept design. We are actively working to change out approximately 50 old stores in the system which are underperforming and do not properly represent our brand promise to the customer. Indeed it is a high priority transitioning stores in both the company and our independent dealers are actively working to close and move stores to new locations and reopen them in the new format. Our plan is for all of these stores to be addressed within a three year period. At the end of fiscal 2014, there were 31 new concept design stores. With 30 to 35 projects slated for fiscal 2015 we estimate we will add approximately 15 net new stores and more than double the number of stores in the new format by the end of the year as we continue to build momentum with our 4-4-5 store growth strategy. Although the cost associated with opening stores will impact short-term results, we continue to believe that investing in our branded distribution platform offers the best opportunity for long-term growth. As we have noted in the past once we reach the 400 store pinnacle, the Company will likely own approximately 40% of the La-Z-Boy Furniture Galleries system and the system as a whole will be about 25% larger with a potential sales increase of approximately 40% to 50% as we will not only increase the size of the network, but we’ll also improve the quality of the store footprint by changing out the old stores as we discussed a moment ago. In addition to moving into new markets, we will add stores in those markets we currently own while considering acquisitions of markets depending on their size and geographical location from retiring dealers. An example of a dark market which we will enter this fiscal year is Minneapolis, St. Paul with plans underway to open three stores. As highlighted in my opening remarks, we extended our contract with Brooke Shields through November of 2016. She has been a great brand ambassador and we believe she is bringing a new and different consumer to our stores and to the other La-Z-Boy dealers. This spring we have produced and began airing new commercials featuring Brooke to support the Urban Attitudes launch as the collection began making its way to the retail floors during that time. While our advertising costs were up during the quarter versus last year, we believe investment in the brand platform has played a critical role in our ability to capture market share and will continue to be important to expand our footprint across North America. As we have discussed in the past, we are mindful of keeping our advertising costs fairly consistent as a percentage of sales each year. And one last note on the segment before moving to casegoods. We closed on the sale of Bauhaus during the quarter. While Bauhaus is a fine company, we did not believe that it was a long-term strategic fit from a size perspective with respect to its revenues or earnings and believe our resources will be better utilized driving growth in the business through our integrated retail strategy. We wish the Bauhaus team all the best going forward. Now let me turn to our Casegoods segment. Sales in our Casegoods segment decreased 5% from last year’s fourth quarter and our operating margin was about flat at 5.1%. During the period we announced plans to restructure the business which included marketing Lea Industries for sale and as a result our reported results reflect a treatment of Lea as a discontinued operation. Our restructuring plan includes, discontinuing production at our Hudson, North Carolina manufacturing facility, making us 100% importer of wood furniture, exiting the hospitality business, marketing our youth furniture business, Lea for sale as we mentioned a moment ago and consolidating and transitioning our warehouse and repair functions. While we have made many changes to our casegoods manufacturing model over the years to be more competitive, in the final analysis we determined we cannot generate enough domestic volume to support the size facility we operate in North Carolina. Today a Hudson facility represents about 12% of our casegoods volume. With strong manufacturing partners and a global supply chain team on the ground in Asia managing quality and logistics, we expect to seamlessly transition the remaining product offerings being made in our Hudson facility to our suppliers overseas. We expect to cease production in Hudson during the second quarter of fiscal 2015. With respect to Lea as with Bauhaus, it is not a strategic fit from a size perspective in terms of its revenue or earnings and we believe our effort will be enhanced by focusing our resources on the core casegoods product lines which include bedroom, dining room and occasional pieces positioned in the mid to upper-mid price points of the market. We try to give you all some perspective, the three business units we have or/are exiting Bauhaus, Lea and Hospitality, represented approximately $60 million in sales over the last year and generated negative returns. I would like to emphasize that our casegoods business remains an integral component of our total offering to the consumer. In addition to the many independent dealers carrying our various casegoods brands, our wood business is vital for the merchandising of the La-Z-Boy Furniture Galleries stores, and is becoming an increasingly important as we gain momentum with our in-home design program where we are expanding services to include bedroom and dining room sales. During the quarter occasional furniture continued to exhibit more strength. At the same time we believe that the changes we are making to the segment including the product refresh at Kincaid and American Drew where we are introducing more transitional collections, will position the segment for a performance improvement. And finally let me turn my discussions to our Retail segment. Delivered sales in our Retail segment increased 7% to $79 million compared with last year’s fourth quarter. However on the core base of 91 stores included in last year’s fourth quarter, sales for the segment increased 1%. The operating profit for the segment was 2.9 million comparing with an operating profit of $4 million in last year’s fourth quarter. Our retail business is continuing to make progress. For the year we more than doubled our operating income. However for the quarter with a majority of stores that we own located in the Northeast and Midwest, our results were hampered by the weather. The segment’s performance was also impacted by costs associated with the acquired stores, as well as expenses related to increased advertising and building maintenance including snow removal. In terms of retail metrics for the quarter and slightly lower traffic in average ticket, our conversion was positive and we increased the gross margin in the segment as a result of improved merchandising and a higher priced product mix. Moving forward, we believe our integrated retail model is the right platform to drive growth and profitability for our Company and we believe we will strengthen our performance in the segment as we increase the size of the company-owned retail segment and continue to benefit from the blended wholesale retail margin opportunities. And now I will turn the call over to Mike to go through our financial report.
Mike Riccio: Thank you, Kurt. Consolidated sales for the fiscal 2014 fourth quarter were $353 million, up 2.1% compared with last year's fourth quarter of $346 million. Both periods reflect the reclassification of Lea and Bauhaus to discontinued operations. For the quarter consolidated operating income was $23 million compared with $27 million in the fiscal 2013 fourth quarter. The Company reported net income from continuing operations attributable to La-Z-Boy Incorporated of 14.6 million or $0.27 per diluted share, including a $0.06 per share restructuring charge. This compares with last year’s fourth quarter results of $18.9 million or $0.34 per diluted share which included a $0.03 benefit due mainly to foreign and state taxes and a $0.01 per share after tax gain related to the sale of investments. As noted in our press release, adjusted income from continuing operations attributable to La-Z-Boy Incorporated per share was $0.33 in this year’s fourth quarter versus $0.30 in last year’s fourth quarter. Also for the quarter, our operating margin was 6.4% versus 7.8% in last year’s fourth quarter. The decrease in the operating margin is almost all attributable to the $5 million restructuring charge we recorded during the period. For the full year our consolidated operating margin increased 1.3 percentage points to 6.6% from 5.3% fiscal 2013. For the year the restructuring charge related mainly to fixed asset and inventory write-downs associated with the restructuring of our casegoods business. This compares with a restructuring charge of $2.6 million in fiscal 2013 that mainly related to fixed asset and inventory write-downs associated with the closure of the lumber processing operations in our Casegoods segment. Now let me talk about SG&A, SG&A expenses increased in absolute dollars in fiscal 2014 compared with fiscal 2013 an increase as a percent of sales by 0.2 percentage points in fiscal 2014. Advertising costs were 0.2 percentage points higher this year than in fiscal 2013 due primarily to increased spending related to our Live Life Comfortably marketing campaign. Incentive compensation costs were 2 percentage points higher in fiscal 2014 as well, the increase in incentive compensation and advertising were somewhat offset by a reduction in our provision for doubtful accounts, as our dealer-based financial condition continues to improve. Turning to the balance sheet, during the quarter we generated $28 million in cash from operating activities and ended the year with $150 million in cash and cash equivalents, $45 million in investments to enhance returns on our cash and $13 million in restricted cash. We used cash during the quarter to pay our $0.06 per share dividend and we also purchased approximately 450,000 shares of stock in the open market under our existing authorized share purchase program and have 2.8 million shares remaining in the program. We plan to continue to be opportunistic in the market with respect to buyback activity. Capital expenditures for the quarter were $10.7 million and were $33.7 million for the year. We expect CapEx for fiscal 2015 to be in the range of $60 million to $70 million reflecting costs associated with our new world headquarters which will be approximately $40 million of the total, as well as new stores, transportation and equipment and routine maintenance. As we are in the implementation phase of our ERP system, at this time costs associated with it are being expensed rather than capitalized. As a result of our increased global demand for leather, polyurethane and plywood, we expect raw material cost to rise in 2015 and to be approximately $9 million to $12 million more than in fiscal 2015. To offset the expected increase, we have put through a price increase at the April Market, mostly on leather product that went into effect on May 1, 2014. Due to the timing of orders we will realize the full impact of the price increase in the second quarter. And lastly our effective tax rate for continuing operations were 34.3% for the year, compared with 33.3% in fiscal 2013. Our effective tax rate varies from the 35% U.S. federal statutory rate primarily due to state income taxes and the U.S. manufacturing deduction. Our rate for the year was impacted by certain discrete adjustments, including a tax benefit of $1.2 million for the release of valuation allowances relating to certain U.S. state deferred tax assets. Absent discrete adjustments, the effective tax rate for continuing operations in fiscal 2014 would have been 36.1%. As a quick reminder to everyone, our fiscal first quarter is typically the weakest in terms of sales and earnings due to a general slowdown in the industry related to the summer months. As a result of softer demand in the quarter we shutdown our manufacturing facilities for one week in July for a vacation and maintenance. With lower volume during the period in addition to one week without production and shipments, we historically have converted that lower rate for the quarter. Our conversion objective is on true incremental volume, is still in the 20% to 30% range for the year and we will experience variances from quarter-to-quarter. We define incremental volume as generating more sales with the assets we currently have deployed, in other words for retail same-store sales increases. And now I’ll turn the call back to Kurt for his concluding remarks.
Kurt Darrow: Thank you, Mike. We have much to look forward to at La-Z-Boy Incorporated. We have positioned our Company for ongoing profitable growth and will execute against our plan to achieve it by leveraging and maximizing the strong foundation we have built across our business. While there is uncertainty with respect to the economy particularly housing, our strength perverses the key pillars for success in our industry, a leading flagship brand, a strong network of branded distribution outlets and excellent product line up, a commitment to innovation and operational excellence and a integrated retail structure that provides value to the consumer while generating returns for our shareholders. Our goal is to innovate, grow and succeed in order to provide opportunities for all stakeholders and we believe we’re well on our way. We thank you again for listening to our call this morning. And I will turn the program back to Kathy.
Kathy Liebmann: Thank you, Kurt. We will begin the question-and-answer period now. Rob, please review the instructions for getting into the queue to ask questions.
Question:
and:
Operator: Thank you. (Operator Instructions) Thank you. Our first question comes from the line of Brad Thomas of KeyBanc Capital Markets. Please go ahead with your question.
Brad Thomas : Thanks good morning Kurt, Mike and Kathy.
 KeyBanc Capital Markets: Thanks good morning Kurt, Mike and Kathy.
Kurt Darrow: Hey Brad.
Brad Thomas : I wanted to first ask just about your expectations here on the cadence of business, it’s clear you all were affected by weather, you obviously called out the data point from February we know you have stores that over-indexed to the Midwest and the Northeast, Kurt could you give us a little bit more color just on what you’ve seen in more recent months and what you’ve seen from a geographic standpoint?
 KeyBanc Capital Markets: I wanted to first ask just about your expectations here on the cadence of business, it’s clear you all were affected by weather, you obviously called out the data point from February we know you have stores that over-indexed to the Midwest and the Northeast, Kurt could you give us a little bit more color just on what you’ve seen in more recent months and what you’ve seen from a geographic standpoint?
Kurt Darrow: So I think you can tell from our release Brad that if February was down 5% and the quarter was close to flat that we saw a reversal of those negative trends. And on average over the last 90 days our business is up in same-store sales in the low single-digits, so there is an improvement going on. And geographically the only comment I would make is certainly the warmer weather climate didn’t have the down trend that we experienced in the snow belt and the snow belt results were obviously a lot of worse than the 5%, but the mix of having a North America platform kind of averaged that out.
Brad Thomas : Okay. And then just a follow-up on that, if we think about the nature of the furniture purchase, it’s probably not as longed cycle as some purchases are but they -- it still I know can take multiple visits to the store. Do you feel like there is still like, a hangover that’s happening because of the weather earlier this year and that could trickle into this first quarter before we may be see returns to the trends that you’ve been seeing earlier?
 KeyBanc Capital Markets: Okay. And then just a follow-up on that, if we think about the nature of the furniture purchase, it’s probably not as longed cycle as some purchases are but they -- it still I know can take multiple visits to the store. Do you feel like there is still like, a hangover that’s happening because of the weather earlier this year and that could trickle into this first quarter before we may be see returns to the trends that you’ve been seeing earlier?
Kurt Darrow: Brad that’s a different way to use the word pent up demand, and I have struggled with how to define that for the last 10 years. So I don’t know I think there’s a little more strength in the market today then there was three or four months ago and whether that was all weather related I can’t comment but we are glad and I am sure the rest of you are that we're not going to talk about bad weather here for the next four or five months.
Brad Thomas : I look forward to that. Just one last one here on the store projects for this year, I think you mentioned 30 to 35 of them, it sounds like it’s not finalized exactly what those projects will be. But what do you think that the net growth of stores looks like for this year?
 KeyBanc Capital Markets: I look forward to that. Just one last one here on the store projects for this year, I think you mentioned 30 to 35 of them, it sounds like it’s not finalized exactly what those projects will be. But what do you think that the net growth of stores looks like for this year?
Kurt Darrow: Well, I made a reference to that in my comment. We believe at this point Brad and the only thing that’s really not final is a couple of stores that the timing of getting them opened in the fourth quarter, but that 30 to 35 number is very valid. And I think you’ll see a range from 14 to 16 to 17 net new stores in the system this year.
Brad Thomas : Great. Thanks so much and good luck.
 KeyBanc Capital Markets: Great. Thanks so much and good luck.
Kurt Darrow: Thank you.
Operator: Our next question comes from the line of Budd Bugatch of Raymond James. Please proceed with your question.
Budd Bugatch : Good morning, Kurt, good morning Mike, good morning Kathy. Thank you for taking my questions. Kurt you said for the last 90 days that same-store sales looked like they were in the low single-digits, that includes what, May and half of June I would guess?
 Raymond James & Associates: Good morning, Kurt, good morning Mike, good morning Kathy. Thank you for taking my questions. Kurt you said for the last 90 days that same-store sales looked like they were in the low single-digits, that includes what, May and half of June I would guess?
Kurt Darrow: No.
Budd Bugatch : And would you care to parse any of, say again.
 Raymond James & Associates: And would you care to parse any of, say again.
Kurt Darrow: March, April, May, Budd the 90 days, March, April and May.
Budd Bugatch : March, April, May.
 Raymond James & Associates: March, April, May.
Kurt Darrow: Yes. The 90 days after the February number we gave that was down 5% it has turnaround the other way.
Budd Bugatch : And any difference in May versus the last 60 days of the quarter?
 Raymond James & Associates: And any difference in May versus the last 60 days of the quarter?
Kurt Darrow: I am not going to comment on that since May is in our next quarterly results and I think even though we gave you the color that we’re going to provide on that topic.
Budd Bugatch : Okay. And I think the 10-K says the traffic for the year was flat with the change in pretty much in average ticket. And did I hear you say in your scripted remarks that traffic for the fourth quarter was positive?
 Raymond James & Associates: Okay. And I think the 10-K says the traffic for the year was flat with the change in pretty much in average ticket. And did I hear you say in your scripted remarks that traffic for the fourth quarter was positive?
Kurt Darrow: No. The traffic for the fourth quarter was down as well. And it’s a trend that we’re monitoring, although we believe that people are doing more research online and narrowing their choices and perhaps not shopping as much so and they are not big declines but they are not growing. And so our teams there are working real hard on conversion and making sure they take care of the clients that come in to the best of their ability and that was -- our conversion was positive for the quarter, but we did have slightly less traffic.
Budd Bugatch : Okay, because traffic is, and I think that will be an important indicator. We’re pretty much, aren’t we in a state where we should be anniversarying some of that change in behavior where people research more online. That’s been going on now for a couple of years, so I would hope to see traffic start to turn positive.
 Raymond James & Associates: Okay, because traffic is, and I think that will be an important indicator. We’re pretty much, aren’t we in a state where we should be anniversarying some of that change in behavior where people research more online. That’s been going on now for a couple of years, so I would hope to see traffic start to turn positive.
Kurt Darrow: So would we.
Budd Bugatch : I got you, okay, price increases effective May 1st, care to give us a overall number and is it pretty much just upholstery and retail? How does that factor?
 Raymond James & Associates: I got you, okay, price increases effective May 1st, care to give us a overall number and is it pretty much just upholstery and retail? How does that factor?
Kurt Darrow: Yes the price increases were introduced at the April Market. They go into effect in May. It’s primarily on leather, but the availability and the cost of hides around the world has increased substantially and so we had to make an adjustments, but it’s all in the upholstery area and a large portion of that is in the leather categories.
Budd Bugatch : Okay, and I’ve seen those price improve cost increases, so Mike, I can call that $12 million to $15 million of increased cost is the -- did the price increases for the fiscal year pretty much cover that, or is there a little bit of a margin opportunity in those price increases to cover some uncertainty?
 Raymond James & Associates: Okay, and I’ve seen those price improve cost increases, so Mike, I can call that $12 million to $15 million of increased cost is the -- did the price increases for the fiscal year pretty much cover that, or is there a little bit of a margin opportunity in those price increases to cover some uncertainty?
Kurt Darrow: No. Mike’s comment was we think raw materials will go up between 9 and 12 this year and we always attempt to take enough increase to not just cover the cost, but to cover our margin as well.
Budd Bugatch : Okay, and finally from me, you talk about a one dark market being opened up which is a Minneapolis. How many more dark markets over the next couple of years and what might they be that you might attempt there? Are there a number of them?
 Raymond James & Associates: Okay, and finally from me, you talk about a one dark market being opened up which is a Minneapolis. How many more dark markets over the next couple of years and what might they be that you might attempt there? Are there a number of them?
Kurt Darrow: I would tell you, Budd excuse me for interrupting. I would tell you that I think in terms of major markets that can take four, five, six stores. We are coming probably to an end on that. Two years ago we entered Pittsburgh with three stores. Last year Southeast Michigan with four and our intent is to have four in Minneapolis. And thankfully a lot of our independent dealers in the fourth quarter and then in the first quarter of ’15, we are opening stores in places like Corpus Christi, Bakersfield, Naples. One store operations that our independent dealers are doing, but markets that are truly dark where we are not -- we don’t have a lot of that opportunity. The opportunity for us is in the larger markets where we are not fully stored out. Miami, Boston, New York, Southern California, those are where multiple stores are still needed to penetrate. They are underserved as opposed to our markets in Chicago, Washington, Baltimore, those markets are fully stored out in terms of the number of stores. We may have to move some of the stores as the market conditions change. But in terms of covering the market, those markets are in good shape and we have three or four that need additional coverage.
Budd Bugatch : And any thought as to when you might get those underserved markets fully stored, is there a timeframe that you are…
 Raymond James & Associates: And any thought as to when you might get those underserved markets fully stored, is there a timeframe that you are…
Kurt Darrow: No, that’s all part of 4-4-5. And one of the reasons some of these markets are under-stored is they have the most expensive real estate in the country and we’re just being very prudent about not getting ourselves upside down with the sales we can generate in relationship to the occupancy cost. So we’re scrubbing the markets really hard.
Budd Bugatch : Got you, thank you very much, good luck on the beginning of the year.
 Raymond James & Associates: Got you, thank you very much, good luck on the beginning of the year.
Kurt Darrow: Thank you, Budd.
Mike Riccio: Thanks.
Operator: Our next question comes from the line of Todd Schwartzman of Sidoti & Company. Please proceed with your question.
Todd Schwartzman : Hi. Good morning everybody.
 Sidoti & Company: Hi. Good morning everybody.
Kurt Darrow: Good morning.
Todd Schwartzman : Why don’t you just kind of reconcile the reported sales, the continuing op-sales with my model? I have looked for 360 million-370 million, so it is about a $14 million difference between the -- as reported number in the continuing op spaces. But I did not exclude the Lea. Can you give us a sense of what the contribution top-line for the quarter as well as the full year from Lea was, and also what Bauhaus’ contribution was?
 Sidoti & Company: Why don’t you just kind of reconcile the reported sales, the continuing op-sales with my model? I have looked for 360 million-370 million, so it is about a $14 million difference between the -- as reported number in the continuing op spaces. But I did not exclude the Lea. Can you give us a sense of what the contribution top-line for the quarter as well as the full year from Lea was, and also what Bauhaus’ contribution was?
Mike Riccio: So last quarter, we kind of talked through some of the -- when we reported that for the first nine months, Bauhaus the sales were $27 million and if you divide that by three we kind of talked about that Bauhaus contributed about $9 million a quarter last year. In our note four, we do give the sales for both Lea and Bauhaus for the year that were reclassified to discontinued operations. So if you look at the two together for the last year -- and again remember Bauhaus is only in our numbers till the end of February which is the five week month, so they didn’t have March and April of the number we are disclosing. But if you look at the last two years, you probably did that, they averaged about $37 million a year in the two -- so on annualized basis $37 million would be the number to use. But we have $51 million of sales between those two, if you just divide that -- you can’t divide it by four because you don’t have the full amount of Bauhaus but if you just look at Lea, it’s about $4 million or $5 million a quarter and Bauhaus to be a 9. It is about a $13 million to $14 million a quarter number that isn’t going to be in the next couple of quarters as we anniversary the reclassification of those discontinued operations.
Todd Schwartzman : Okay, thanks Mike that’s helpful. Regarding the Urban Attitudes can you give us a timeline maybe how far along you are with the rollout, what ultimately will be the total number of skews, maybe talk about price points, how they differ from the existing collections?
 Sidoti & Company: Okay, thanks Mike that’s helpful. Regarding the Urban Attitudes can you give us a timeline maybe how far along you are with the rollout, what ultimately will be the total number of skews, maybe talk about price points, how they differ from the existing collections?
Kurt Darrow: Well, let me take those questions in reverse, as far as the skews are concerned it’s a collection of seven or eight upholstery groups with occasional chairs and accessories and tables all correlated, so it’s a fairly large collection for us but price point wise it is right in line with what we’re, where we sell today, it’s in the 799 to 1,199 price points on average. The uniqueness of it is its styling, is its scale, is its shape and this growing trend of more apartment blowers, more condo blowers, people moving to smaller spaces, the industry did a pretty good job and we were right there with them making large furniture and at times furniture that in older homes couldn’t even get through the door, so it’s more about scale and look and appearance than it is any kind of a dramatic departure from our core customer or our core price points. And it’s still a little bit too early, we just started running the commercials in May, it’s still getting out to all the retail floors, so later this year we’ll give you some more detailed statistics on what percentage our upholstery business is representing, how fast it’s growing, but I think right now to do that would be premature.
Todd Schwartzman : Got it, and on the Minnesota market, just to remind us, when were you last in the Twin Cities area?
 Sidoti & Company: Got it, and on the Minnesota market, just to remind us, when were you last in the Twin Cities area?
Kurt Darrow: We have never had either enter ourselves we have never had pre-standing La-Z-Boy stores in that market. We have had another retail partner who has done a great job for us in the market but there’s -- they don’t represent the entire product line and we think there’s room for both, so this will be a new venture and the first time that the La-Z-Boy Furniture Gallery program has had a presence in the Twin Cities.
Todd Schwartzman : So in that interim in terms of the industry dynamics that the local market considerations, how has that competitive landscape may be changed for the better in your estimation where you want to ramp-up to perhaps probably, I thought I heard you say initially three stores core of four, as the ultimate goal in that market?
 Sidoti & Company: So in that interim in terms of the industry dynamics that the local market considerations, how has that competitive landscape may be changed for the better in your estimation where you want to ramp-up to perhaps probably, I thought I heard you say initially three stores core of four, as the ultimate goal in that market?
Kurt Darrow: Well we have, we identified three -- four areas to start and we only have committed leases on three of the four, we haven’t found the right real estate in the fourth market in Minneapolis that we want. And that may not -- we may not stop at four, but like our entry into Southeast Michigan we wanted to get four of the bases covered, see how well they do, track the zip codes and where the customers are coming from and see if we have some gaps that we could add either a fifth or sixth store in either one of those markets, but we needed to get a core of four to be able to effectively afford the advertise and cover the geographic area.
Todd Schwartzman : Okay. And on those underserved areas that you called out, Miami, Boston, New York, Southern Cal, can you give us a sense maybe that a total of those four or by market what kind of incremental store count we might look for over the next few years?
 Sidoti & Company: Okay. And on those underserved areas that you called out, Miami, Boston, New York, Southern Cal, can you give us a sense maybe that a total of those four or by market what kind of incremental store count we might look for over the next few years?
Kurt Darrow: Well this is ever changing and fluid because as we look for new stores we have got leases in old stores and old markets coming up, but a part of that 70 stores that we have to have to get opened to go from 315 to 400, I’m sure we’re going to have to get at least 20 stores out of those four markets to reach that goal so and Southern California is more developed than the other three but there’s still some opportunity and New York is the least developed of the three. So we got lots of opportunity.
Todd Schwartzman : Great, that’s helpful. On the CapEx guidance of 50 to 70 is a little bit more than what I was looking for although you have mentioned that, that includes about 40 for the headquarters, it doesn’t sound at all there’s really any change with respect to the headquarters component. Can you talk about how maybe if at all your expectations for spending have changed since last quarter?
 Sidoti & Company: Great, that’s helpful. On the CapEx guidance of 50 to 70 is a little bit more than what I was looking for although you have mentioned that, that includes about 40 for the headquarters, it doesn’t sound at all there’s really any change with respect to the headquarters component. Can you talk about how maybe if at all your expectations for spending have changed since last quarter?
Kurt Darrow: Our expectations of spend has not changed at all, we’ve stated what we thought the headquarters would cost, that we’re staying within budget and are on-time. We may have thought that we would have spent a little more money in fiscal ’14 on the headquarters and we didn’t so it’s transferred into ’15, but $20 million to $30 million CapEx for our continuing business is not out of the norm of what we’ve been doing the last few years, the headquarter is a one-time unusual situation, so we’ve got our normal CapEx budget that has been pretty consistent and then the $40 million for the headquarters.
Mike Riccio: And Todd our depreciation and amortization has been averaging around 24 million to 25 million a year so we have been staying about replacing that every year.
Todd Schwartzman : Terrific. Thank you guys.
 Sidoti & Company: Terrific. Thank you guys.
Kurt Darrow: Thank you, Todd.
Operator: Thank you. (Operator Instructions) The next question is from the line of Matt McCall of BB&T Capital Markets. Please proceed with your question.
Matt McCall : Thank you, good morning everybody.
 BB&T Capital Markets: Thank you, good morning everybody.
Kurt Darrow: Good morning.
Mike Riccio: Good morning, Matt.
Matt McCall : So help me, you’ve said in kind of I wrote it down, it’s too early to determine that there was only weather that was impacting your business, yet the cold weather area seems to do better than the warm weather area and you’ve seemed to see a bounce back in activity post the cold weather, so what’s giving you that hesitation and why are you not willing to say that we think that it was weather related?
 BB&T Capital Markets: So help me, you’ve said in kind of I wrote it down, it’s too early to determine that there was only weather that was impacting your business, yet the cold weather area seems to do better than the warm weather area and you’ve seemed to see a bounce back in activity post the cold weather, so what’s giving you that hesitation and why are you not willing to say that we think that it was weather related?
Kurt Darrow: Well I am not sure that -- I am not sure we’re communicating correctly. We said that the cold weather climate in the beginning of our fourth quarter in February their sales were off a lot more than just the 5% that the system reported. So the cold weather climates were hit very hard in January and February with leather. The fact that we have a North America system brought up the average to the negative 5% in February, but since that time we said that sales have been positive and they have been trending in the right direction.
Matt McCall : Okay, right maybe I wrote it down, it’s too early to determine if it’s only weather, so that’s probably…
 BB&T Capital Markets: Okay, right maybe I wrote it down, it’s too early to determine if it’s only weather, so that’s probably…
Kurt Darrow: Well I mean well I don’t -- I make no -- every time there is a blurb on the market about housing and everything it seems that the furniture people go into a shock for a minute and then things go on. So there is -- I am not predicting what’s going happen in the balance of the year, but we believe that if we don’t have another weather issues that we will get back to some normalcy of business.
Matt McCall : So when you I think may be the earlier question about your traffic trends and you’ve given some commentary around ticket and conversion, do you see similar trends with say traffic around the weather impacted parts of the country where -- and have you seen any improvement in that metrics since weather got better?
 BB&T Capital Markets: So when you I think may be the earlier question about your traffic trends and you’ve given some commentary around ticket and conversion, do you see similar trends with say traffic around the weather impacted parts of the country where -- and have you seen any improvement in that metrics since weather got better?
Kurt Darrow: Well, the traffic if you look at it over a year’s time, it would average out and certain of our markets are having increased traffic, certain of our markets are not. But overall for the system and I think not just the stores that the Company owns but for our independent dealers as well, traffic has been modestly down this year, over a 12 or 14 month period and over all of North America.
Matt McCall : Okay, okay so one thing, last quarter you mentioned the turn in supply chain opportunities and I know you talked about a new regional DC, and you talked about the ERP, and I didn’t hear you mention that for a supply chain opportunities this quarter, any reason it didn’t get mentioned and can you kind of give us more detail on about what it is your referencing there with supply chain opportunities specifically?
 BB&T Capital Markets: Okay, okay so one thing, last quarter you mentioned the turn in supply chain opportunities and I know you talked about a new regional DC, and you talked about the ERP, and I didn’t hear you mention that for a supply chain opportunities this quarter, any reason it didn’t get mentioned and can you kind of give us more detail on about what it is your referencing there with supply chain opportunities specifically?
Kurt Darrow: So Matt I would tell you that we’ve made a lot of changes and did a lot of work on a number of areas of our business. We changed the way we manufacture from individual incentive to team incentive. We went to cellular manufacturing. We put in the regional distribution centers. We changed the way we were running our stores. We changed a lot of things with our brand platform. The last piece of our business that hasn’t had quite the same scrutiny is our supply chain so and we -- historically when we had a number of companies, we were operating supply chain in the individual companies. Over the last year or so we have transitioned to be operating our supply chain efforts from a corporation standpoint collectively buying, collectively selecting our vendors and also. We just think by giving it a little more importance and attention doing it at on a corporate basis instead of an individual basis, being -- hiring some new talent that’s had experience in these areas, we think there is opportunity, it’s too early for me to give you any kind of a insight into the numbers and all, but we do think there is opportunities for efficiencies, savings and really better cooperation with our supply chain partners and the things that we’ve learned in the last five years on lean manufacturing and lean practices, we think we can provide some help to some of our suppliers about how they’re services us and other things and we think collectively there is more money to get out of the system.
Matt McCall : You spoke about some of those things in the past tense and in the past year you’ve done some of these things. Are some of those benefits being recognized now or are they still to come?
 BB&T Capital Markets: You spoke about some of those things in the past tense and in the past year you’ve done some of these things. Are some of those benefits being recognized now or are they still to come?
Kurt Darrow: I would say my reference to the past is that we’ve taken this time to get organized.
Matt McCall : Okay.
 BB&T Capital Markets: Okay.
Kurt Darrow: We’ve taken this time to hire the team to get the strategy, to communicate to our suppliers and we haven’t had any real significant numbers on that yet that we would have reported on them, but we anticipate that could be coming downstream.
Matt McCall : Okay and that will lead nicely into my final question. So Mike talked about the 20% to 30% bogey for incremental margin. You talked about some things that will likely be a drag on that. I wrote it down increased store projects, ERP expenses are going to I guess continue and then it sounded like maybe some near-term price costs mismatch, so can we -- are you’re going to arrive at that or attain that target or reach that target with the benefits of this supply chain improvement offsetting some of these near-term pressures, is that why we can still be confident in that kind of incremental margin target range?
 BB&T Capital Markets: Okay and that will lead nicely into my final question. So Mike talked about the 20% to 30% bogey for incremental margin. You talked about some things that will likely be a drag on that. I wrote it down increased store projects, ERP expenses are going to I guess continue and then it sounded like maybe some near-term price costs mismatch, so can we -- are you’re going to arrive at that or attain that target or reach that target with the benefits of this supply chain improvement offsetting some of these near-term pressures, is that why we can still be confident in that kind of incremental margin target range?
Kurt Darrow: Well, I think that -- I think there is always puts and takes in a year in something like this. We’re still comfortable with the 20% to 30% conversion on incremental volume. And I think one of the challenges we’re having with the outside world is you’re taking our whole volume and whatever it is then you’re taking the 20% to 30% on that and saying that what’s your contribution should be. And with our all the new stores we’re going to open and all the stores we’ve acquired, that’s truly non-incremental because we have got all the cost associated with it. And to give you some example and as the starts will impact us because the Company is going to be opening more stores, there is probably over a 90-day period from when we start hiring people until we get the stores opened and running. Every time we open a store, there is probably a $0.25 million drag on the new store process. Now, it’s a one-time issue and we think again investing in stores that can do $4 million it’s a small price to pay, but we’re going to have some of that and we’ll try to let you know the magnitude of that as the year rolls on. But there is other things that we’re working on and always decisions on where to investment, where to spend your money things of that nature and we have a whole another dealer base out there that’s beyond just the stores and all that we’re expecting some solid growth from. So, no, we’re not backing off our 20% to 30% provided it’s only applied to the incremental volume on an annual basis. So, well, certain quarters we may do better, certain quarters we may do worse. I think you need to judge us when the year is over whether we delivered on that promise or not.
Matt McCall : Okay, so a way to look at it is take that $0.25 million and, if I wrote that down right, $0.25 million multiply it by the stores that you are going to introduce in that, new stores that you are going to introduce or open in that quarter and that will be basically the only adjustment to the other things to kind of offset themselves and you should be within that range?
 BB&T Capital Markets: Okay, so a way to look at it is take that $0.25 million and, if I wrote that down right, $0.25 million multiply it by the stores that you are going to introduce in that, new stores that you are going to introduce or open in that quarter and that will be basically the only adjustment to the other things to kind of offset themselves and you should be within that range?
Kurt Darrow: Well, that’s not -- it’s not exactly that simple because if we open a store at the end of the quarter, we still have some more expenses that go on and so it’s a rolling and if we open them at the beginning of the quarter, we had to -- because we start, we hire people 60 days before stores open, and we have those expenses you’ve got pre-opening costs, you’ve got all your marketing to get the store open before you make the first sale. So it’s just there, and I want you to be aware of it, but if anything we’re saying is going to cause us to have a huge earnings in this or anything of that nature, but when you’re investing in growth you’ve got some short-term things to overcome.
Matt McCall : Okay, perfect. Thank you, Kurt.
 BB&T Capital Markets: Okay, perfect. Thank you, Kurt.
Kurt Darrow: Thank you, Mat. 
Operator: Thank you. There are no additional questions at this time. I will turn the floor back to Mr. Darrow for additional closing comments.
Kathy Liebmann: Hello everyone, thank you very much for participating on our call this morning. If you have follow-up questions, please give me a call. Thank you and have a great day.
Operator: This concludes today’s teleconference. You may now disconnect your lines at this time. And we thank you for your participation.